Operator: Welcome to the Lee Enterprises 2023 First Quarter Webcast and Conference Call. The call is being recorded and will be available for replay at investors.lee.net. [Operator Instructions] A link to the live webcast can be found at investors.lee.net under the event section. Now, I’ll turn the call over to your host, Josh Rinehults, Vice President, Finance.
Josh Rinehults: Good morning. Thank you for joining us. Speaking on this morning’s call are Kevin Mowbray, President and Chief Executive Officer; and Tim Millage, Vice President, Chief Financial Officer, and Treasurer. Earlier today, we issued a news release with preliminary results for our first fiscal quarter of 2022. It is available at lee.net as well as at major financial websites. Please also refer to our earnings presentation found at investors.lee.net that includes supplemental information. As a reminder, this morning’s discussion will include forward-looking statements based on our current expectations. These statements are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in this morning’s news release and also in our SEC filings. During the call, we refer to certain non-GAAP financial measures, including adjusted EBITDA and cash costs, which are defined in our news release. Reconciliations to the relevant GAAP measures are included in tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray. Kevin will open the conversation on Slide 3 of the earnings presentation for those following along.
Kevin Mowbray: Thank you, Josh, and good morning, everyone. I’m really encouraged at the pace by which we’re transforming Lee into a vibrant digitally centric company. We’re pleased with our strong digital subscription growth and digital subscribers now total 564,000, an increase of 25% compared to the prior year. We’re also driving higher rates as revenue from digital subscriptions increased 56% compared to the prior year. Digital advertising revenue increased 12% with Amplified Digital revenue of 45%. Our first quarter results demonstrate strong digital growth with consistent execution of our Three Pillar Digital Growth Strategy. This execution is the foundation of our long-term investment thesis. Sustainable long-term digital revenue growth from our Three Pillar initiatives will transform the mix of our revenue base, driving margin expansion and stronger free cash flow generation, which will fuel debt reduction, enhancing our balance sheet. A stronger balance sheet and improved operating cash flow, combined with multiple expansion fueled by increasing digital revenue creates a strong path to significant long-term value creation for our shareholders. Our Three Pillar Digital Growth Strategy is guiding our transformation to a vibrant digitally centric company. We’re focused on expanding our digital audiences, growing our digital subscriber base and revenue and diversifying expanding our offerings for local advertisers. The strategy and execution are expected to result in $435 million of recurring sustainable digital revenue by 2026. Digital subscriber growth at Lee has outpaced our industry peers for the last 13 quarters. Lee is the fastest growing digital subscription platform in media with more than 564,000 digital subscribers, up 25% from the first quarter. Anti-digital agency revenue continues to significantly outpace the industry as well with an impressive 74% growth over the last 12 months. Total digital revenue has grown to nearly $250 million in the last 12 months. Our digital transformation is driving a rapid change in the mix of our revenue in the first quarter. Total digital revenue now represents 35% of our total operating revenue. Before we get into the first quarter operating results, we’re excited to share about a new brand identity within our portfolio, TownNews will began its next chapter as BLOX Digital as announced last month. The name BLOX Digital celebrates a rich history and is a testament to the success of the flagship software-as-a-service solution, BLOX CMS. With a refreshed mission and new modern look, BLOX Digital is even better positioned to deliver valuable integrated digital solutions. Supporting the expansion and modernization of BLOX Digital is a priority for Lee, as we execute our enterprise-wide digital transformation and enhance value for our customers, subscribers and Lee shareholders. Moving to the first quarter operating results. We delivered strong digital growth with consistent execution of our Three Pillar Digital Growth Strategy. Total operating revenue was $185 million in the first quarter. Digital revenue growth continued at a strong pace, with total digital revenue up 17%, driven by 56% growth in digital subscription revenue. At the end of the quarter, we had 564,000 subscribers to our digital-only products. This is a 25% growth rate after many consecutive quarters of significant growth. On the advertising side, digital advertising revenue increased 12% compared to the first quarter last year, driven by a 45% growth in revenue at Amplified Digital. Amplified revenue now totals $21 million in the quarter. We have been presented with challenges in the first quarter. Total print revenue was $120 million, an 18% decline year-over-year, as cyclical headwinds accelerated the pace of decline. However, I couldn’t be more proud of this team for their smart thinking, steadfast commitments toward our Three Pillar Digital Growth Strategy and the rapid execution of our plans to drive industry-leading digital revenue growth and a commitment towards achieving our adjusted EBITDA goals. These efforts have importantly kept us on track to reaffirm our full year guidance for adjusted EBITDA. And now, I’ll turn it over to Tim with more details on our first quarter results.
Timothy Millage: Thank you, Kevin, and good morning, everyone. In addition to driving industry-leading digital revenue growth, we are focused on maximizing the profitability of our legacy business and achieving our long-term leverage target. Operating expenses totaled $176 million, and cash costs were down 5%. Decreases in cash costs were attributed to continued business transformation efforts, partially offset by strategic investments in digital talent and technology tied to our digital growth strategy, increased digital cost of goods sold and general rising prices. For the quarter, we reported adjusted EBITDA of $18 million. As Kevin mentioned earlier, we faced a number of headwinds to begin fiscal 2023, largely driven by uncertain market conditions. One way we are addressing this, as we are focused on managing the profitability of our print business as cyclical headwinds have accelerated the changes in demand for these products and services. We continue to identify opportunities to further optimize our cost structure in distribution and manufacturing as well as corporate services. To that end, we executed an additional $60 million of annualized cost reductions early in the second quarter, $40 million of which will be realized in fiscal year 2023. Executing the various actions began early in the second quarter, and we expect to achieve more than $40 million reduction to our cash costs in the remainder of the year. Over the last 2 years, we have identified and implemented over $130 million of annualized cost actions. While we remain focused on operational excellence and reducing the cost structure of our legacy print business and growing profits, our main priority is to drive long-term sustainable digital revenue growth. Therefore, we continue to invest in talent and technology in areas of our business tied to our digital future, and our commitment to high-quality local news remains steadfast. The targeted investments will drive our digital future and will impact our cash costs in fiscal year 2023. We expect the investments we are making in new talent and technology and increased digital cost of goods sold to increase our total cash costs by approximately $25 million in the fiscal year. These costs will have a short-term impact on our margin profile, but are expected to drive Lee’s digital transformation. We continue to strengthen our balance sheet. The principal amount of debt at the end of the first quarter was $463 million. As a reminder, our credit agreement with Berkshire Hathaway, our sole lender, has favorable terms that are incredibly important for us as we execute our strategy, as it allows us the ability to make the necessary investments in talent and technology that fuel our recurring sustainable digital revenue growth. We made no pension contributions in the first quarter, and we do not expect any material pension contributions in fiscal 2023. Finally, we continue to identify opportunities to monetize our non-core assets, which facilitate accelerated debt reduction. In the first quarter, we closed $4.1 million of asset sales, and the net proceeds from that sale were used to pay down debt in the second quarter. We have identified an additional $30 million of non-core assets to monetize, which are in various phases of the sale process. As a reminder, with solid execution of our Three Pillar Digital Growth Strategy, as well as our commitment to improving our balance sheet, our goal is to achieve our long-term leverage target of under 2.5 times. On Slide 10, we are summarizing our fiscal 2023 outlook. To account for the current market conditions, we are widening the range of our total digital revenue guidance, lowering the midpoint of the range with expected growth between 13% and 19% year-over-year. At the same time, we implemented a significant cost reduction focused on costs that support our print business. With these cost actions and continued progress on our digital transformation, we’re reaffirming our adjusted EBITDA fiscal year target of $94 million to $100 million. And with that, I will turn it back over to Kevin to wrap up.
Kevin Mowbray: Thanks, Tim. Under the guidance and oversight of the Board of Directors, our leadership team’s continued execution of our growth strategy sets the stage for significant long-term value creation. Our Three Pillar Digital Growth Strategy is the foundation of our investment thesis and the execution of that strategy is at the core of creating value for our shareholders. To wrap it up, I’d like to thank the entire Lee team for their efforts in driving our transformation. We have the right board, the right team and the right strategy, and I believe we’re better positioned than ever to create long-term value for our readers, our users, our advertisers and shareholders. This concludes our remarks. The team will remain on the line for questions you may have. Operator, please open the line for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our question comes from the line of Michael Kupinski from NOBLE Capital Markets. You line is open.
Michael Kupinski: Thank you. Good morning. And thanks for taking my questions. A quick couple of questions here. Can you kind of give us a sense of how print advertising is pacing in the current quarter, what you’re hearing from advertisers? Any specifics in terms of what is driving currently the decline, because, obviously, we’re pacing now against, or comping against easing comps from last year? So can you kind of give us a sense of what we’re seeing that in print right now?
Timothy Millage: Yeah. Thanks, Mike. Thanks for the question. I think what we’re seeing is some of the cyclical headwinds that we saw in the first quarter. We’re seeing some of that in the second quarter as well, which is what prompted us to take the quick action that we did. At the same time, we feel really good about the digital guidance that we have out there. We do think our digital subscription guidance is really strong, and the performance there is pacing with our expectations. And we’ve got some opportunity on the digital ad side as well for some trend improvement.
Michael Kupinski: Great. And on the cost actions you’ve taken on the print side, I was wondering if you can kind of give us some sense of the types of cost reductions you’re doing there. And if you can just kind of give us a sense of – I know that you guys have been really rightsizing that business pretty aggressively. What are we actually doing at this point in terms of those cost reductions? And can you kind of give us a sense of whether or not you were expecting restructuring charges going? And if you can just kind of give us the magnitude of those.
Timothy Millage: Yeah. That’s a good question. So, again, we continue to evaluate all departments of the organization as part of our digital transformation. We still have a lot of costs that are tied to our print business. It’s still two-thirds of our revenue, and we have a lot of costs that are directly related to that revenue. And so as the revenue trends, cyclical headwinds we’re facing have affected those revenue trends, we’ve got some levers to pull because of the costs that support there. So a lot of it was on the comp side. We’re also looking at a lot of our vendor costs as well to manage those, so production, distribution and some of our other vendor costs. So we still have some significant amount of cost tied to our print business, given it is a sizable percent of our revenue. In terms of your question on the restructuring charges, we are looking at restructuring charges in the mid- to high-single digits, in millions, for the fiscal year. So a little bit less than what we were seeing last year.
Michael Kupinski: On the print side, at this point, you’re not decreasing the print days or anything like that at this point? Are you – can you kind of give us a sense of what you’re doing on that?
Timothy Millage: Yeah. So we’re looking at a lot of options on levers that we can pull on the print side. Yeah, all options.
Michael Kupinski: I got you. And then in terms -- can you give us a sense, I know, this print is a smaller portion of your total expenses on that side. Can you kind of give us a sense of what newsprint costs are doing? I know they have been moderating a little bit.
Timothy Millage: Yeah. After a pretty wild ride over the last 18 months of rapidly rising prices, we are seeing them moderate and level off at the current base.
Michael Kupinski: And then on the digital side, can you kind of give us a sense of how digital revenue growth is pacing in the current quarter?
Timothy Millage: So it’s very consistent with what we saw in the first quarter. Our total digital revenue was up 17%, and we’re pacing around there as well in the second quarter.
Michael Kupinski: Got you. And then on digital subscription, were there any specific changes in marketing in the quarter, changes in paywalls that might kind of account for some of the growth that we’re seeing there?
Timothy Millage: No, nothing specific. It’s just all part of the strategy. And the foundation of that is local content that our users enjoy, one, and that’s kind of the foundation of our digital subscription platform. At the same time, we’re mining data that’s informing our marketing decisions. And that’s just part of the grind that we’re going through and part of the tactics that we are deploying to drive digital subscription growth. And as you saw in the quarter, great growth from a unit perspective, 25% growth year-over-year, which is 13 consecutive quarters of industry-leading growth. And at the same time, we’re growing average rates. So having revenue grow 56% year-over-year with units up 25%, we’re starting to see that increase in average rate. So we’re really happy with what we’re seeing on the digital subs side.
Michael Kupinski: That’s terrific. And I would assume the margins are starting to show some improvement there as well on the digital side. Yeah. What was the reason why TownNews was rebranded? I was just wondering if you can kind of give me a sense of what led you to change the rebrand.
Kevin Mowbray: We’ve been really pleased with the performance of TownNews, and it’s been primarily focused in the media sector in terms of its BLOX CMS services. And I really believe we’ve got a great opportunity to go above and beyond providing those services outside of the media landscape, hence the name from TownNews to BLOX Digital.
Michael Kupinski: Got you. Okay. All right. Thanks. That’s all I have. Thank you.
Josh Rinehults: That is all we have for questions. I will turn it back to Kevin for closing remarks.
Kevin Mowbray: Great. Well, thank you. As I mentioned earlier, we remain keenly focused on transforming our business model from the long-term benefits for our shareholders, our employers, our employees, our readers and advertisers. We appreciate your time and your interest in Lee. Thank you again for joining the call.
Operator: Thank you. Ladies and gentlemen, at this time, we have reached the end of our question-and-answer session. This concludes our call. Everyone, have a great day.